Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Hibbett Sports Second Quarter 2013 Conference Call. [Operator Instructions] As a reminder, this conference is being recorded today, Friday, August 17, 2012. I would now like to turn the conference over to Mr. Mickey Newsome, Executive Chairman. Please go ahead, sir.
Michael J. Newsome: Thank you. My name is Mickey Newsome. Our CEO and President, Jeff Rosenthal, is with us; our new Senior VP of Finance and CFO, Scott Bowman, is with us; Senior VP of Merchandise and Marketing, Becky Jones; Senior VP of Store Operations, Cathy Pryor. We appreciate you being on our call today, and we appreciate your interest in Hibbett Sporting Goods. Before we start, Scott Bowman will cover the Safe Harbor language.
Scott Justin Bowman: Thank you, and good morning. In order for us to take advantage of Safe Harbor rules, I would like to remind you that any projections or statements made today reflect our current views with respect to future events and our financial performance. There is no assurance that such events will occur or that any projections will be achieved. Our actual results could differ materially from any projections due to various risk factors, which are described from time to time in our periodic reports with the SEC.
Michael J. Newsome: Thank you. Now our President and CEO, Jeff Rosenthal, will speak with you.
Jeffry O. Rosenthal: Good morning. As you know from our press release this morning, our second quarter earnings per share were up $0.30 versus $0.21 a year ago, a 43% increase. Overall sales for the second quarter increased 8% to $165.4 million compared to $153.1 million a year ago. Comparable sales increased 4.8%. Comps by month are as follows: May, up 9.21%; June, up 1.91%; July, up 4.09%. From a real estate perspective, we opened 7 new stores, expanded 3 high-performing stores and closed 5 underperforming stores, bringing the store base to 837 stores in 26 states. We continue to have 400 additional markets identified in our existing 26-state area and can still easily grow to over 1,300 stores. We are on pace to open 55 to 60 new stores and expand approximately 15 high-performing stores. There is no reason that we cannot operate in all states over time. We have started very strong in comparable sales through yesterday, with sales up mid-single range. With back-to-school pushed back in our 5 largest store states, Alabama, Texas, Arkansas, South Carolina and Oklahoma, we expect even a better result. Our comps have excelled, being up double digits the last 3 days, and we expect more to come. Our company is confident moving forward in the back half of the year by moving our fiscal 2013 guidance to a range of $2.57 to $2.67 per share. The Hibbett strategy has continued its success, as evidenced by achieving 11 consecutive quarters of comparable store increases. With our investments in our future and the dedication of our employees, we expect to grow for years to come.
Michael J. Newsome: Thank you, Jeff. Next, our Senior Vice President of Merchandise and Marketing will speak with you, Becky Jones.
Rebecca A. Jones: Good morning. Sales trends in the second quarter were driven by double-digit comps in accessories and high-single digit comps in branded and licensed apparel. Our footwear categories performed at a healthy mid-single digit comp, while equipment categories were flat to down slightly. In branded apparel, bright colored tees and shorts drove top line results in all genders. Under Armour performed very well in all genders and categories. Nike also had a good quarter, with Nike Compression being particularly good. Adidas is experiencing strong growth in the men's and boys' apparel categories. Fashion men's product has been good all year, with Jordan and Adidas Originals driving results. The NBA championship series with Oklahoma City and the Miami Heat contributed to the overall performance of licensed apparel. Our headwear continues to be on a strong trend as well. The accessory business continues to perform, with sunglasses and socks being the items of choice. We continue to experience high demand for the Elite sock in Nike. Under Armour accessories have been good, and that trend has continued into the third quarter, with backpacks doing quite well. The running categories across all genders and sizes was the highlight in the footwear area. Nike Free was the top performer. We were quite pleased with the performance of the Under Armour product that landed late in the second quarter. And our sandal business continued to do well on the second quarter, too. Jordan is in high demand, and Retro Jordans are driving traffic. Adidas Originals continues to also pick up market share in our stores. Our equipment business, as a total, was flat. Baseball was off slightly in comp, with bats being strong and baseball gloves down. Football, basketball and soccer had low- to mid-single digit comps. Our cleat business was soft in the second quarter as the football season was shifted out a week in states that had back-to-school dates moved out. We saw a shift of back-to-school shopping at the end of the quarter. Core states had moved back-to-school start dates out a week to 10 days, and with that date shift, customer shopping patterns followed suit. As schooldays open and occur, we're seeing early third quarter business gaining strength.
Michael J. Newsome: Thank you, Becky. Next, our Senior VP of Finance and CFO, Scott Bowman, will speak with you.
Scott Justin Bowman: Second quarter sales increased $12 million to $165.4 million, an increase of 8% over the prior year. Fiscal comps were up 4.8%. Gross profit rate increased 110 basis points over last year. Product margin increased 80 basis points as shrinkage rates improved and we were less promotional. Warehouse and occupancy leverage the remaining in 30 basis points. SG&A also had favorable leverage in the quarter, as we continue to see favorability in credit card fees. Depreciation and amortization were under last year's dollars due to lower costs for leasehold improvements for our new stores. The income tax rate for the quarter was slightly under last year's rate due to a favorable true-up involving job tax credit. Operating income, up $12.4 million, increased 32% over last year and was 7.5% of sales versus 6.1% last year, an increase of 136 basis points. Diluted EPS came in at $0.30 per share versus $0.21 last year, a 43% improvement. From a balance sheet perspective, the company ended the quarter with $71.5 million in cash versus $65.2 million last year, with no bank debt. Inventories increased 3.2% over last year, but were down 1.1% on a per-store basis. We have spent $7.2 million in CapEx year-to-date versus an annual plan of $15.9 million. Also, for the quarter, the company bought back 176,000 shares for a total of $10.2 million. At quarter end, we have approximately $121 million remaining under the existing purchase authorization.
Michael J. Newsome: Thank you, Scott. Operator,we're -- next, we're ready for questions.
Operator: [Operator Instructions] Our first question comes from the line of Sean Naughton with Piper Jaffray.
Sean P. Naughton - Piper Jaffray Companies, Research Division: When you look at the quarter and given the inventory position you had heading in, do you feel like you were too tight anywhere and may have lost some sales to maintain margin? And I guess, following up on that, the inventory remains very well controlled at the end of the quarter here. How are you thinking about your ability to drive comps if demand does reaccelerate and materialize in the third quarter?
Rebecca A. Jones: We actually felt like going into the second quarter that the inventories were really in a better place than they were a year ago, and that was really by design that we came out of the first quarter into the second quarter that way. Because last year, we felt like we landed April a little bit too heavy, going into the second quarter. Because it's typically not our highest-volume quarter to begin with, so we felt better about the inventories going into the quarter. Going in -- coming out of the quarter, we really thought that our -- by door, it was basically flat to last year. So from a perspective of "can we drive the sales in our stores into the third quarter and then going into holiday?" we feel confident that we're really where we need to be. We had a couple of orders that shifted out of late July into August when they've come in, and so we're in good shape.
Michael J. Newsome: We didn't have to be nearly as promotional this July as we were last year. Of course that helped our margin, but it probably hurt our comp store sales a little but it was the right thing to do. We're a lot healthier on inventory.
Sean P. Naughton - Piper Jaffray Companies, Research Division: Got it. That makes sense. And I guess, I'm not sure if I missed this or not, just on the comp in the quarter. Can you break down some of the composition between traffic and ticket? And then also, just on the comps, how does -- it's nice that you've had a nice acceleration here the last 3 days, but how does the end of August look in terms of comparison purposes? And are you seeing the pickup in the states that you mentioned that have shifted back-to-school a little bit later?
Jeffry O. Rosenthal: Yes, we had increase in traffic and increase in dollar amount or average selling price. These comp stores that we talked about are -- will continue to grow over the month. So we expect -- we were in the 7% range last year in comps, so we expect that it will grow over time with the shift. We definitely see it going with the movement of back-to-school. For example, our Georgia, which, last year, we had sales late July moved back a little bit this year. We've also -- we saw the acceleration when they had their tax-free in August. So we expect that to happen with at least these 5 states, and the other states that we still have, have been some of our highest comping states anyways throughout the year. So we expect it to accelerate the rest of this month.
Rebecca A. Jones: The Georgia tax-free was new over last year, and so the consumers were really excited about that being put back into place. And so we saw their business shift into August, as would be expected when you have a new tax-free date come up.
Sean P. Naughton - Piper Jaffray Companies, Research Division: Got it. And then just lastly on the new stores just from a modeling perspective, maybe how should we think about the cadence of openings for the balance of the year?
Jeffry O. Rosenthal: It will be similar to last year. We -- for whatever reason, we're always back-end loaded. We expect third quarter, approximately 20 stores; and fourth quarter, approximately 25, somewhere in that range. But it's always so back-end loaded for us, and historically, it's always been that way. We wish we could get a few more in the first and second quarter, but we feel pretty confident that we can hit the 55 to 60 stores that we've said earlier, and we feel pretty good about that.
Operator: And our next question comes from the line of Seth Sigman with Credit Suisse.
Seth Sigman - Crédit Suisse AG, Research Division: I just wanted to dig into that comps outlook a little bit more. It seems like Q3 is doing similar to Q2 in the mid-single digits, maybe even a little bit better given the shifts that you mentioned. But guidance for the year implies low-single digits in the back half of the year. Can you just help reconcile that? And is there any reason why comps would decelerate for the remainder of the year? Or is that just kind of a level of caution there?
Jeffry O. Rosenthal: Well, we're always a little conservative on our outlook. There's no reason that it shouldn't be mid-single or higher. If -- but we're being a little bit conservative as we always are.
Seth Sigman - Crédit Suisse AG, Research Division: Okay. Appreciate that. And then as you look to Q3 and Q4, are there any specific merchandising initiatives, brand rollouts, et cetera that may help year-over-year? I think specifically at this time last year, the outdoor program with North Face, Columbia was probably in about half of the stores, and it sounded like that would probably be expanding this year. Any update on those type of initiatives?
Rebecca A. Jones: We will have some additional doors in North Face. Over last year, there's -- and that's always a nice plus for us because our consumer really looks forward to us being able to bring that to them. It's -- as our store base grows and our addition of North Face stores stays pretty consistent to the total -- as a percentage to our total number of doors that we have. And of course, on the other hand, we also have the new NFL product that's coming out from Nike, and as that season gets to us and the product really gets on our floors, in a good way, we think that, that'll be a nice plus for the licensed business in particular. Our footwear business looks good. The product looks good going into the back half. We are very pleased with the Under Armour programs that we have on the floor now and really feel good about what we're seeing and selling in that. And it's very encouraging, what we see from the back-to-school perspective of that assortment. And on top of that, Jordan continues to be a very good program for us in our urban door base, and we feel good about the allocations that we have for the back half and think that, that will also help us.
Michael J. Newsome: The Olympics, we don't specifically sell a lot of Olympic stuff, but it has kind of an influence overall and where is -- the people's awareness of physical fitness goes up a little bit, and that will help some.
Operator: And our next question comes from the line of Rick Nelson with Stephens.
N. Richard Nelson - Stephens Inc., Research Division: I wanted to ask you about some of the systems initiatives. I think markdown optimization, you recently began testing in some stores and how that's progressing and how you think that might help the business.
Scott Justin Bowman: Yes, Rick. That project is going quite well. We're testing it kind of internally and trying to get a feel for how it's working, and we're going to be ready for a small pilot starting here in a couple weeks. So we should start to see some results. Don't expect any big results in the near term because we do have to put it in pilot. We have to understand how it works, and we have to be pretty methodical on the rollout of that initiative.
N. Richard Nelson - Stephens Inc., Research Division: Got you. And any updates on the new DC, the timing and how you're thinking about cross-stock today versus what you've done historically?
Scott Justin Bowman: Yes, Rick. As we announced, we purchased some property. We just handed off yesterday to the architects. We have designed the interior, so we'll spend the next few months having the architects work on it. We still expect to be in there in 18 to 24 months, which shouldn't be an issue. We are changing a lot of our processes, which I'm extremely excited about. We are 93% to 94% cross-stock. We'll look over time being 80-20, 75-25 where we'll be able to fill back in the stores in sizes. I think it will do a lot for our business from a revenue standpoint. We will definitely drive sales. We should turn our inventory better. We should get better margins because we won't have it in the wrong stores, so a lot of potential that we see out there. We're going through some of the processes now on how do we do it, how often do we ship to our stores, and those types of things. But I think with speed to market, being able to fill back in, in sizes, it will be a huge win for our company.
Operator: Our next question comes from the line of Dan Wewer with Raymond James.
Daniel R. Wewer - Raymond James & Associates, Inc., Research Division: So Becky and Jeff, I recognize that the shift in back-to-school probably distorted sales in July and early August. But looking at June, those numbers didn't look all that good. Foot Locker earlier this morning indicated that their businesses is running up high-single digits in both May and June. How would you explain the divergence in your sales compared to theirs during that month?
Rebecca A. Jones: I haven't actually looked at what their sales did on -- from that perspective because I know that they do the call the same time that we do. So as far as how their business shifted, I don't really know. When I look at what happened to us in June, the way the calendar shifted for us was, last year, the Fourth of July actually fell in our June calendar, and this year, it shifted out a little bit for us. And we tend to be a little bit promotional during that time period, so we saw kind of a trail off only because of a week shift there. Our overall business though, when you look at apparel and footwear in the core categories, it's remained relatively steady for us over those months. And when I see what happens in the second quarter as far as the mix of goods, we see that our apparel ticks up because we sell a lot of tanks and a lot of shorts in this second quarter. We don't see as many people go after athletic shoes in the second quarter, and that starts to change again when you get to the back-to-school time period, where footwear becomes even more important because people are preparing for the back-to-school time period.
Daniel R. Wewer - Raymond James & Associates, Inc., Research Division: I guess the full of brunt of the price increases from Nike, Adidas, Under Armour are now in place in the Hibbett stores. Are you concerned that we're hitting the price points where the other customer is beginning to push back on those higher prices?
Jeffry O. Rosenthal: Dan, not at all. We feel like, if anything, those products have continued to gain momentum. And we think just the opposite, that as long as there's good innovation and good product that the customer will spend the money, such as lightweight running shoes, our Jordan business, our Under Armour footwear business, all that. We're getting full price and we're -- and those sales have accelerated over time as we've gotten into back-to-school. So traditionally, second quarter is always our toughest volume quarter, and we're kind of in between sports. And as we've gotten back to back-to-school, we see our momentum just growing for the next 3 to 4 weeks.
Rebecca A. Jones: I think the thing that's important to remember is that in our small market, we are the place that they can go to get premium products. And that demand for premium products is in small towns, as much as it is in large towns. And that customer, if they want the item, whether it's a Nike Free or it's a Jordan shoe, they're willing to spend the money.
Daniel R. Wewer - Raymond James & Associates, Inc., Research Division: And just the last question I have, to follow-up on a question earlier about inventories being too lean, so just to make sure I understand. We have less inventory per square foot entering the third quarter than a year ago. It sounds like, Jeff, you're suggesting that same-store sales could, in fact, grow 5% or better during the second half of the year even though the guidance and the news release is lower than that. Just I have difficulty understanding how you can leverage less inventory per store into that rate of comp sales growth, given the benefits of a new distribution center can be in place for a couple of years.
Jeffry O. Rosenthal: We just think we've done much better job on assortment planning. Our inventory is fresher than it was a year ago. We feel about -- feel really good about the innovation in product coming out. There is a lot of new product from a lot of our vendors that we feel very strong about, and it's continuing to fine-tune our assortments by door that's making us feel confident and that our inventory levels are right.
Operator: And our next question comes from the line of Sam Poser with Sterne Agee.
Sam Poser - Sterne Agee & Leach Inc., Research Division: In the -- are you flowing more product more frequently than you did a year ago?
Rebecca A. Jones: Not necessarily. Sam, I don't know if I really understand what you're asking.
Sam Poser - Sterne Agee & Leach Inc., Research Division: Well, I mean, the thing is that you picked a cut off. The questions are coming out regarding is your inventory too light, too heavy, whatever. My question to you is are you -- I mean you picked a day in the sand, did -- I mean, could you -- are you replenished -- like your stuff on replenishment, are you replenishing that more frequently so you can run with -- your just flowing goods through and can run with lower average inventories?
Rebecca A. Jones: The only -- our replenishment round is on a weekly basis just as normal. I would tell you that -- a couple of things in regards to inventory per door. During the back-to-school time period, we take a handful of doors that are very high volume for us, and we do go to them twice a week on their shipments. So that does flow the product to them more consistently so that they can take advantage of that. But quite frankly, we had a lot of product hit us at the very, very beginning of August that shifted out of July just a little bit. And that's why I've made the comment that coming out of the second quarter, even though it looked like we were flat to maybe a little bit off in a per-store basis, we're in really good shape from an inventory perspective going into back-to-school based off -- just of where the POs came through.
Sam Poser - Sterne Agee & Leach Inc., Research Division: And then just 2 more things. On the same-store sales for the month, you said you're running up mid-singles. For the last 2 days, you've been running up in the double-digit range. Is it -- is this double-digit increase based on the calendar? Do you expect that to continue? Is that like another -- I mean, is that just a blip? Or do you think that's meaningful for what you're expected to see, let's say, over the next 2 weeks for the balance of the month?
Jeffry O. Rosenthal: Yes, we would expect similar sales for the next 2 to -- 2 weeks at least.
Sam Poser - Sterne Agee & Leach Inc., Research Division: So running up a nice healthy increase and bringing up the average for the month?
Rebecca A. Jones: That's what it's looking like at this point, Sam.
Jeffry O. Rosenthal: That's what we see as the trend. And those dates are significantly higher than the rest of the company, so we see it coming.
Rebecca A. Jones: The business is flowing in through -- into August exactly as we anticipated that it would.
Jeffry O. Rosenthal: And probably the biggest difference from us and others, I know a lot of people compare us to others, is that we're so Southern-based. A lot of the Northeast store -- schools and some of the schools out West, have traditionally always gone to school after Labor Day. This is really -- we used to have a lot of schools that were in late July, early August, now we're moving closer and closer towards Labor Day. So for instance, Alabama, we would already be in the school this week, and they don't even start until next week. So we expect like Alabama to have an unbelievable weekend.
Michael J. Newsome: For those of you don't realize it, these states pushing their school opening back it's all about money and saving money on utilities and other expenses. They're not going to go less school days. These schools take less holidays in the fall and spring. Some of them are even going to go 15 minutes longer each day to make it up. So there's going be a trend toward a more compact school year in the future.
Sam Poser - Sterne Agee & Leach Inc., Research Division: And then lastly, just I missed it, can you just give us May, June, July same-store sales again?
Jeffry O. Rosenthal: Sure. May was 9.2%. June was 1.99%, and July was 4.09%.
Sam Poser - Sterne Agee & Leach Inc., Research Division: Okay. And the June dip was? Again, I'm sorry.
Jeffry O. Rosenthal: The shift of July 4 a little bit, and we were less promotional. And we purposely took out some promotions which increased our margins and moved it closer to when we knew back-to-school was going to be.
Rebecca A. Jones: Yes. If you look at product -- well, not that you can see product margin, but product margin had a real healthy increase in the second quarter and a lot of that was because we knew about the back-to-school shift and we knew that promotional time period and where we went with promotions into the time period to support the back-to-school in August.
Operator: Our next question comes from David Magee from SunTrust Robinson Humphrey.
David G. Magee - SunTrust Robinson Humphrey, Inc., Research Division: Some retailers are seeing some demand issues with their lower-income customers. I was curious whether you've seen any divergence in performance with stores at maybe more moderate income areas -- market areas.
Jeffry O. Rosenthal: No. We look at that, but we have not seen any difference, some of our highest unemployment states are some of our highest comp states. And to me, David, it always gets back to, "Do we have what the customer needs and wants are? And do we have great customer service?" And we don't see any change there. We're still very "first and 15th of the month" driven. We see that continuing. But we haven't seen -- as long as you have the right product, the income levels or what's happening in Europe or any of those types of things really don't matter to our customer. It's really, do we have the right stuff.
Michael J. Newsome: Of course, that first- and 15th-driven is not new. That's been going on for years.
Rebecca A. Jones: Yes.
David G. Magee - SunTrust Robinson Humphrey, Inc., Research Division: All right. Has there been any meaningful change in how you overlap with major chain competition out there, say, from last year?
Jeffry O. Rosenthal: Not particularly. We'll get some competition from time to time, but it's not that different. We'll have a big box once in a while hit on us, but we also have a lot of mom-and-pop type stores that have been closing over time. So we know how to exist with them, and we do very well with them. We know what our assortments need to be, and it's just part of doing business.
David G. Magee - SunTrust Robinson Humphrey, Inc., Research Division: What about your overlap with Foot Locker?
Jeffry O. Rosenthal: Probably, over time, it's probably decreased because a lot of the stores in our markets, they have closed because they were probably lower-volume stores for them anyways. They're mostly in malls that we have not been growing malls really at all, maybe 1 or 2 a year at that. And so we really haven't seen them as growing competition for us. If anything, it's probably gone the other way.
David G. Magee - SunTrust Robinson Humphrey, Inc., Research Division: And just lastly, could you remind me about what percentage of the -- for the third quarter is comprised by August sales?
Jeffry O. Rosenthal: August would be about...
Scott Justin Bowman: It's a little over 40%.
Operator: And our next question comes from the line of Peter Benedict with Robert W. Baird.
Peter S. Benedict - Robert W. Baird & Co. Incorporated, Research Division: First, going back to kind of Dan's question, just the pricing outlook for footwear and apparel as you look out over the balance of this year and then maybe an early view into '13. How do you see kind of the year-over-year price points changing kind of the inflation rate versus what you've seen here in the last, call it, 6 months?
Rebecca A. Jones: As far as price increases, I think that we've really seen the majority of what the suppliers have moved to from this past year. I think it's pretty much done. We've seen our product go from $90 to $95 or $90 to $100, and that was pretty much baked in at this point in time. We knew that when we bought it several months ago. We worked it into the plans, and we don't see any real significant increases coming down the pipe at this point in time.
Peter S. Benedict - Robert W. Baird & Co. Incorporated, Research Division: Okay. That's helpful. And then thinking about the remodel and expansion efforts that you guys have been doing, can you kind of update us how many have you done kind of this year? And then how are you seeing the lift of sales when you do that? Is that continuing as you've been seeing it before?
Michael J. Newsome: Yes. We're going to-- we'll remodel or we'll expand 15 to 20 this year, and I think we've already done about 10. But we want it -- that'll continue in the years to come. We've identified about 150 stores we'd like to expand, and we'd get a big jump in sales. So we're budgeting next year to do another 15 to 20 expansions, and it's not unusual to get a 15% to 20% jump.
Peter S. Benedict - Robert W. Baird & Co. Incorporated, Research Division: Okay. And then just the last -- not to kind of get back to this demand shift out of July and into August, but I mean have you -- do you have a sense of maybe what the actual impact was in terms of dollars, how much sales you think may have moved, if you can get a sense of maybe what the impact was on second quarter comp? I mean, clearly, this is better now, so I just thought I'd ask the question.
Jeffry O. Rosenthal: It's so hard to really quantify. For example, football season, traditionally it's always an August 1 start for most areas. And it's -- in a lot of our states, it's August 6 this year, and people, at least our customers, they wait to the last minute to buy. So it's hard to see that. And then you have Georgia that moved out. We think it could be up to 100 basis points. But that's really our guess. And -- but it's just so hard to really quantify, plus we are less promotional also, on purpose, for late back-to-school. So between being less promotional and some of these shifts, it's really hard to quantify.
Operator: Our next question comes from the line of Anthony Lebiedzinski with Sidoti & Company.
Anthony C. Lebiedzinski - Sidoti & Company, LLC: Just a couple of questions. You mentioned that the NBA licensed apparel picked up because of the Oklahoma and Miami teams playing this. Can you quantify the impact on that?
Rebecca A. Jones: You know what, I would tell you that it was significant impact for our NBA business in licensed. But as far as impacting the overall, it wouldn't really adjust our numbers one way or the other. And interestingly enough, for us, it was really good for Oklahoma. It was the run up into the series more so than it was about the championship for Miami.
Anthony C. Lebiedzinski - Sidoti & Company, LLC: Okay. That's helpful. And in the past, you've talked about rolling out e-commerce strategy at some point in the next couple of years. Can you just give us an update as to how far along you are with that project?
Jeffry O. Rosenthal: Sure. Right now, we're trying to build an infrastructure between a distribution center and moving a home office and those type of things. So we're at least 18 to 24 months before we have a definitive strategy.
Operator: And our next question comes from the line of Camilo Lyon with Canaccord Genuity.
Camilo R. Lyon - Canaccord Genuity, Research Division: My question, Becky, is related to the merchandise margins. You talked a little bit about the promotional shift out of that June time frame closer to the back-to-school. Could you maybe put a little bit more definition around what you think the benefit was of that merchandise margin gained in the second quarter and maybe how we should think about the run rate of merch margins for the back half of the year?
Rebecca A. Jones: Well, we wouldn't probably give you the exact numbers of how that impacted the second quarter. I would tell you that, that -- those promotional shifts were in conjunction with the 5 states that shifted out, so the amount of volume those states do for us and the impact of back-to-school was a real nice positive impact for our margin in the second quarter. Third quarter, from a margin perspective, we've had a good run on margin the last few years. We had a really nice run last year as well in third quarter margin. So my expectation is, based off of our promotional shift, to be able to maintain what we did a year ago, maybe a slight improvement that, because we did make a hard shift into promotions into August, I think that maintaining from a last year performance in -- possibly up just a little bit would be a really good way to end the quarter.
Camilo R. Lyon - Canaccord Genuity, Research Division: Got it, okay. That's very helpful. And yes, you guys have been great at continuing to drive merch margin expansion, so I commend you for that. Let me shift gears a little bit. I know you guys had an early sell-in of Under Armour Spine, and by all accounts, it sounds like you guys were pretty pleased and -- with the sell through rates, and it looks like it's coming above plan, when does the second iteration or the fall Spine deliver for you guys?
Rebecca A. Jones: We'll see additional product coming in and flowing throughout the back half from Under Armour because we flow the product on -- we try to bring newness in as much as possible. But certainly, we'll have newness on the floor for the holiday time period. And then going into spring next year, we felt really good about what their assortment looked like going into spring, and we're encouraged by what they've done. We're encouraged as well by the commitment that they've made to that category going forward. We think that, that's going to be a real nice plus for the consumer. The consumers wanted it. We have a lot of consumers in our small towns that really enjoy their apparel product. And they've been wanting to be able to wear good decent Under Armour footwear, and they've done a good job. They've come to play now in that respect. So we feel good about it. We think that what's happened with the Spine early on in August really solidifies that we made some good purchases for the future as well.
Camilo R. Lyon - Canaccord Genuity, Research Division: That sounds great. Can you give us a sneak peek into what that spring product would look like or what's new from them that we can anticipate looking at?
Rebecca A. Jones: Well, if I did, they might not be happy with me. So I would tell you that there's updates and then there's newness. How about that?
Camilo R. Lyon - Canaccord Genuity, Research Division: We would be happy with you. I would certainly be happy.
Rebecca A. Jones: I know you would be, but I don't -- I have to work with them every day.
Operator: Our next question is a follow-up from the line of Sam Poser with Sterne Agee.
Sam Poser - Sterne Agee & Leach Inc., Research Division: Real quick, could you give us what the differential was between the mall-based stores and the strip centers?
Jeffry O. Rosenthal: Sam, strip centers outperformed malls slightly. It wasn't a huge difference.
Operator: And I'm showing no further questions at this time. Mr. Newsome, I will now turn the call back to you.
Michael J. Newsome: Thank you. In summary, we are proud of the results we achieved in quarter #2. Earnings per share were plus 43%, on top of a 56% increase in quarter 2 last year. We feel good about our comp store sales trends and quarter #3 that we're in. Our systems investments in the last 4 years are allowing us to more and more get the right merchandise in the right stores based on demographic and geographic needs. Fiscal '10, 11 and '12 new stores are performing well above our new store model. Net of closings, at fiscal '11 we opened 21; in fiscal '12, 33; this year, 40. Hopefully, we think we'll hit that. And next year, we think we will increase it once again and we'll continue to expand 15 to 20 stores a year. We've identified 400-plus markets to open new stores in, in our 26 state area. Our comp store sales have increased 11 straight quarters, and we have raised guidance 9 straight quarters, and we hope to do it again in November. Hibbett Sporting Goods has a great future. Thanks for being on the call today. We look forward to speaking with you on November 16 at 9:00 Central Standard time. Thank you.
Operator: Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your line.